Operator: Good day, ladies and gentlemen, and welcome to the Clipper Realty Fourth Quarter Earnings Call. At this time all participants are in a listen-only mode and the floor will opened for your questions and comments following the presentation. It is now my pleasure to turn the floor over to your host, Lawrence Kreider. Sir, the floor is yours.
Lawrence Kreider: Thank you. Good afternoon and thank you for joining us for the fourth quarter 2021 Clipper Realty Inc earnings conference call. Participating with me on today's call are David Bistricer, Co-Chairman of the Board and Chief Executive Officer; and JJ Bistricer, Chief Operating Officer. Please be aware that statements made during the call that are not historical may be deemed forward-looking statements and actual results may differ materially from those indicated by such forward-looking statements. These statements are subject to numerous risks and uncertainties, including those disclosed in the company's 2021 annual report on Form 10-K, which is accessible at www.sec.gov and our website. As a reminder, the forward-looking statements speak only as of the date of this call, March 15, 2022, and the company undertakes no duty to update them. During this call, management may refer to certain non-GAAP financial measures, including adjusted funds from operations, or AFFO; adjusted earnings before interest, taxes, depreciation and amortization, or adjusted EBITDA; and net operating income, or NOI. Please see our press release, supplemental financial information and Form 10-K posted today for a reconciliation of these non-GAAP financial measures with the most directly comparable GAAP financial measures. With that, I will now turn the call over to our Co-Chairman and CEO, David Bistricer.
David Bistricer: Thank you, Larry. Good afternoon, ladies and gentlemen, and welcome to the fourth quarter 2021 earnings call for Clipper Realty. I will provide an update on our business performance, including recent highlights and milestones as well as our company's progress. I will then turn the call over to JJ, who will discuss property-level activity, including leasing performance. Finally, Larry will speak about our quarterly financial performance. We will then take your questions. I begin again by extending our thanks to the entire Clipper team for their ongoing hard work, perseverance as we progress out of the pandemic and on to 2022. We remain grateful for their continued efforts and are proud of the continued dedication to our residents, our community and our business. We continue to see positive operational trends as we look forward residential leasing activity continues to improve, enhance as both the city and the economy in general, further strength in the New York City. We expect rental demand to remain strong and pricing to improve now that New York City has reopened. People seek to relocate back to the city and employees increasingly return to their offices. At the end of the fourth quarter, our properties were 95% leased. New leases at our properties are reaching or exceeding pre-pandemic levels, including Tribeca House property, where new leases rates in October exceeded $80 per foot, 10% better than pre-pandemic rates. Our balance sheet continues to be well positioned from a liquidity perspective. We have approximately $53 million of cash consisting of $35 million of unrestricted cash. We finance our portfolio on an asset by asset basis. Our debt is nonrecourse, subject to limited standard carve-outs as is – and is not cross-collateralization. We have no debt maturities on any of the operating properties until 2027. Turning to some recent developments. The essentially ground-up developments of 1010 Pacific acquisition is moving along very well and are targeting substantial completion in the fourth quarter. The property is located in Prospect Heights, Brooklyn, about a mile from Atlantic Terminal and Barclays Center. As previously discussed, we estimated the project to cost to $85 million and develop to a 6.5% stabilized cap rate. More than 95% of our construction contracts are signed and we are growing steadily on the $52.5 million construction loan facility that will provide us with financing through completion. JJ will provide further update on the project shortly. At the end of the year, we purchased 953 Dean Street in Brooklyn and intend to develop from ground-up. When completed the purchase of land will cost approximately $48 million and there's an acquisition financing of $40 million, we expect to build a 9-story, fully amenitized residential building, a 160,000 residential rentable square feet with 240 units, 70% with free market and 30% affordable, which will provide us with a 30-year 421 tax abatement, 8,500 square feet of commercial rental square feet. Our office portfolio at 141 and 250 Livingston are operating as expected, filing a new lease entered at the end of 2020 and August 2020. Together, these renewed leases have added $7.1 million to net operating income annually compared to previous lease rates, an increase of over 10%. With regard to our fourth quarter results, we are reporting quarterly revenue of $30.8 million, net operating income of $16.4 million and AFFO of $4.4 million. All these results represent improvements over the third quarter, as Larry will further detail. I will now turn the call over to JJ, who will provide an update on operations.
JJ Bistricer: Thank you. I begin by again extending our thanks to the company's employees for their continued inspiring efforts as we progress out of this unprecedented period to normality. We are grateful for the ongoing commitment to our tenants and communities. Our new residential leasing activity that began towards the end of last year continues to improve. At the end of the fourth quarter, all our residential properties were leased in the mid to high 90s percent range. New rental rates per square foot in January and February are reaching or exceeding pre-pandemic levels in all exceeding present average rates. For example, new leases in February at the Tribeca House were $83 per square foot; Flatbush Gardens, $32 per square foot; Aspen, $52 per square foot; Clover House, $73 per square foot; 10 West 65th Street, $59 per square foot. We continue to work our pandemic recovery strategy at our Tribeca House property to first optimize occupancy and then grow rental rates. Year-on-year, lease occupancy has increased to 98% from 89% in December last year with average occupancy of 97% over the full year in 2021. As occupancy increased to the high 90% mark, we were then able to begin achieving higher rent per square foot, which now have reached in excess of $80 per square foot in February 2022, more than 15% higher than the pre-pandemic level and nearly double rates in December 2020. As a result, average rent per square foot levels over the whole property have increased nearly $63 in December and $64 per square foot last week. We expect rent per square foot levels to continue to grow steadily higher as our one and two year leases entered into last year and the year before turnover. Revenue at the Flatbush Gardens complex in Brooklyn held up well in the fourth quarter, nearly level with the third quarter. Throughout the pandemic, the properly maintained leased occupancy between 92% and 93% and rent per square foot remained steady at $25 per square foot throughout 2021, a near record level. We are taking steps to increase occupancy to the historically typical level above 95%. Lastly, we continue to benefit from the 2020 reorganization of the property's operations that created nearly $800,000 in annual savings. Rent collections across our portfolio remains strong despite the challenges of the pandemic. Our overall collection rate in the fourth quarter was 98%. In 2021, we filed for rent relief under the New York Emergency Rental Assistance Program, or ERAP, and received $2.5 million in the fourth quarter 2021 and $240,000 this quarter so far. We understand the program is paused, the lack of funding, but understand that there may be some resumption depending on actions taken normally. We have also filed over $1 million of applications under the related Landlord Rental Assistance Program, or LRAP, relating to tenants who did not file for assistance on the ERAP, if and when that program becomes operational for larger landlords. On the development side, we are moving well on our construction at 1010 Pacific Street and are on target. We have finalized approximately 95% of our construction contracts and begun steadily drawing on our $52.5 million construction loan, which should provide us with funds throughout completion that we are targeting in the fourth quarter. All the important trades are engaged on site and are moving efficiently towards trade finishes. The development is a 9-story 119,000 rentable square foot, fully amenitized, multifamily rental building with underground indoor parking. The property is expected to have 175 total units, 70% of which will be free market and 30% affordable and is eligible for 35 years 421(a) tax abatement. Looking ahead, we remain focused on optimizing occupancy pricing and expenses across the business to best position ourselves as New York City continues the recovery from the pandemic. I will now turn the call over to Larry, who will discuss our financial results. Thank you.
Lawrence Kreider: Thank you, JJ. For the fourth quarter, we achieved revenues of $30.8 million virtually level with last quarter and higher than the $30.3 million for last year's fourth quarter. For the same periods of time, we achieved NOI of $16.4 million and AFFO of $4.4 million this quarter increased approximately from $0.3 million from the third quarter of this year and improved from NOI of $14.7 million and AFFO of $3 million in the fourth quarter last year. The year-over-year revenue increase was primarily due to increased occupancy and/or rental rates at the Tribeca House, Aspen and Clover House properties partially offset by lower occupancy at the Flatbush Gardens property as compared to the fourth quarter of 2020. At this point, we are achieving higher rates new residential leases than before the pandemic, although the effect will take the next few quarters through evidence itself as leases executed at lower rates during the pandemic through the second quarter of 2021 take full term to roll off. In February 2022, as JJ has articulated, for example, at the Tribeca House property, new residential rental rates were above $80 per square foot, well above new leases at the beginning of last year with similar increases at our other properties as well. On the expense side, key year-over-year changes were as follows: property operating expenses decreased by $1.5 million in the fourth quarter year-on-year, primarily driven by a decrease in the provision for bad debt, resulting primarily from the $2.5 million of ERAP funds received in the fourth quarter and additional $240,000 in 2022; and a decrease in property level staffing costs at Flatbush Gardens, resulting from the realignment of operating activities last year at Flatbush Gardens. Real estate taxes and insurance increased by approximately $700,000 in the fourth quarter year-on-year due to increased insurance costs across the portfolio and to a lesser extent annual real estate tax increases. Interest expense increased only slightly in the fourth quarter year-on-year, primarily due to the refinancing of the 141 Livingston Street property in February 2021. With regard to our balance sheet, as David mentioned earlier, we are well positioned from a liquidity perspective. We have $52 million of cash, consisting of $34 million of unrestricted cash and $18 million of restricted cash. And the development of the 1010 Pacific Street and Dean Street acquisitions will be largely financed with construction financing. We finance our portfolio on an asset-by-asset basis and our debt is nonrecourse, subject to limited standard carve-outs and is not cross-collateralized. We have no debt maturities on any operating properties until 2027. Today, we are announcing a dividend of $0.095 per share for the fourth quarter, the same amount as last quarter. The dividend will be paid on March 31st to shareholders of record on March 25th. Let me now turn the call back over to David for concluding remarks.
David Bistricer: Thank you, Larry. We remain focused on efficiently operating our portfolio with the safety of our tenants and employees are our highest priority. We continue to take the necessary steps to navigate through the current challenges, buttressed by a strong balance sheet. We look for our continued operating improvements to accelerate through 2021 and beyond. We look forward to capitalizing on a myriad of growth opportunities, including 1010 Pacific Street and 953 Dean Street developments and other possibilities that may present themselves. I would now like to open up the line for questions.
Operator: Ladies and gentlemen, the floor is now opened for questions. [Operator Instructions] Your first question is coming from Craig Kucera with B. Riley. Your line is live.
Craig Kucera: Yes, yes. Thanks. Hi, guys.
David Bistricer: Hi.
Craig Kucera: Hi. You've had some elevated litigation expense for a while. And I'm just curious will the settlement effectively end litigation? Or are you expecting any additional spending for the rest of the year?
David Bistricer: We don't expect any additional litigation at what you were referring to is the 421-g litigation is now settled, and we don't expect anybody else to come out of wood.
Craig Kucera: Okay. Great. And with the new acquisition of land parcels on Dean, I'm curious do you have a rough idea of what the total size of that project might wind up looking like as you continue to work on that for the next few years? Or is that still TBD?
David Bistricer: Still TBD days, but it's going to be very much in line with what we're doing at 1010. It's closed by in proximity, basically the same type of construction as far as the construction materials. It's a bit larger. So the – it will be commensurate with the size, but largest as budget is a little bit low, but it's basically be the same plan.
Craig Kucera: Okay. And just one more for me. I haven't seen the supplement filed yet. Are you guys still planning on putting that out at some point in the near-term?
Lawrence Kreider: It should be up now. We'll check on it, but it's – of course, you…
Craig Kucera: Okay. That's fine.
Lawrence Kreider: We had a couple of hiccups, but yes, no, it's going to be post – it should have been posted by now. I'm a little surprised that it's not actually.
Craig Kucera: Okay. Thanks. I'll keep my eyes open for that. I appreciate it.
Lawrence Kreider: Yes, yes, it will be out very shortly.
David Bistricer: Thank you. We can go ahead. Go ahead.
Operator: [Operator Instructions] Your next question is coming from Buck Horne with Raymond James. Your line is live.
Buck Horne: Hi, good afternoon guys.
David Bistricer: Good afternoon.
Buck Horne: Just curious about Flatbush a little bit. Maybe you could just add a little bit of context around the occupancy level there and why it seems to be a little slow to recover relative to the rest of the portfolio and really the rest of the market there? Is there anything specific going on at the property and how you're targeting occupancy levels going forward? And just also curious about the strategy around the staffing decision.
David Bistricer: No, it's not – it's a much larger property than anything else. It's 2,500 units. So it's over 4x the size of our largest property in Tribeca. So it takes a little bit longer to get it to get it going, as you say, when it was pretty much the leasing was pretty slow during the pandemic, but we expect it to catch up with the other properties.
Buck Horne: Okay. And on the Dean Street transaction, just a rough time line that you would expect its construction to start when you would expect to be able to get the completion at this point and any expectation for yield on cost at this stage?
David Bistricer: Sure. We expect the cap rate to be about 6.5%, a little bit there than that. Q3 2022, we should have all the approvals ready to break ground. It's a 24-month construction time zone – time line, and we hope to do a little bit better than that. And again, it will be a 421(a) tax abatement qualified, 70% free market, 30% affordable and a 35-year tax abatement. So we think that that's very good result, very, very close to 1010 Pacific both, and it's what we think will be the economic benefit to us and also with a geographic proximity. So we think that both of these projects will be very – they're very handsome designs and it's going to be a good addition to our portfolio.
Buck Horne: Okay, great. Thanks for the color. Thanks guys.
David Bistricer: Thank you.
Operator: We have no further questions coming from the lines at this time.
David Bistricer: Thank you very much, and we look forward to speaking to you again next quarter. Be well and stay well, everybody.
JJ Bistricer: Thank you.
Operator: Thank you, ladies and gentlemen. This concludes today's conference call. You may disconnect your phone lines at this time, and have a wonderful day. Thank you for your participation.